Operator: Good morning. My name is Kate and I will be your conference operator today. At this time I'd like to welcome everyone to the First Quarter 2020 Earnings Release and Operations Update for Oasis Midstream Partners. Today, Oasis management will discuss first quarter 2020 results and the current environment. Please note this event is being recorded. I would now like to turn the call over to Richard Robuck, Oasis Midstream’s CFO to begin the conference. Thank you, you may begin the conference.
Richard Robuck: Thank you, Kate. Good morning, everyone. This is Richard Robuck. Today we're reporting our first quarter 2020 financial and operational results. We're delighted to have you on our call today. I'm joined by Taylor Reid and Michael Lou. Please be advised that our remarks on both Oasis Petroleum and Oasis Midstream Partners include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently disclosed in our earnings release, and conference call. Those risks include, among other matters that we have described in our earnings release, as well as our filings with the Securities and Exchange Commission, including our annual report on Form 10-K, and our quarterly report on Form 10-Q. We disclaim any obligation to update these forward-looking statements. During this conference call, we will also make references to certain non-GAAP financial measures and reconciliation to the applicable GAAP measures can be found on our earnings release and on our website. We will not be hosting a Q&A session on our call today, but the team will be available after the end of the call as needed. With that I'll turn the call over to Taylor.
Taylor Reid: Good morning, everyone and thanks for joining our call. We're experiencing an environment that is causing massive disruption and dislocation to the energy sector in the U.S. We're doing everything in our power to adjust to the challenges that are coming our way. And I feel strongly that we have the right team and a solid balance sheet to manage through this tumultuous time. We entered this environment with two of the best quarters in our history. Built-on asset positioned two of the best oil basis in the U.S. In the first quarter, throughput was above the high-end of the guidance across most commodity streams. EBITDA exceeded our guidance once again, as both volumes and costs were better than expected. We continue to do an excellent job on third-party opportunity. During the first quarter, we commenced another third-party produced water gathering and disposal agreement in [Williston]. We have a high quality diversified customer base that contributed approximately 19% to our first quarter EBITDA. While the macro environment is uncertain, we continue to have numerous discussions with various third parties so we are in a good position to win additional business when conditions improve. In-light of this macro economic uncertainty, OMP is reducing its 2020 capital spending levels approximately 65% to 70%. Taking a prudent approach to the current environment, and these actions reflect expected activity reductions by both our sponsor and third party. Additionally, the significant spending reductions help preserve the balance sheet and maintain OMPs flexibility. Our gas complex in North Dakota had another excellent quarter operating at high capacity. This strong performance allowed our sponsor to capture approximately 98% of its Wild Basin gas. This compares to only 83% from North Dakota. North Dakota mandates 88% capture, which is scheduled to increase to 91% in November of this year. In the first quarter, third-party volumes approximated 30% of Bighorn’s total volume. In addition to natural gas OMP executed well across both oil and water in the first quarter. Veritas water volumes increased approximately 6% from the fourth quarter average driven by new third-party volume agreement. OMPs extensive water infrastructure puts us in a strong position to capitalize on additional opportunities in a more normalized environment. I just want to say great job to the team for executing exceptionally well this quarter. Keep up the good work. I’ll now turn the call over to Michael to get into a little more operational detail.
Michael Lou : Thanks Taylor. In these uncertain times, OMP remains focused on what it can control, executing our plan, minimizing costs, and protecting value for its partners. At Bighorn, during the quarter gas volumes exceeded the top end of guidance while oil volumes matched the high end. This strong performance reflects a combination of solid volumes from our sponsor, and third parties along with high utilization at our gas complex. At the Bobcat DevCo volumes exceeded guidance across oil, gas, and water. In our Beartooth water volumes exceeded the high-end of guidance in-part aided by a new third-party contract. Looking to the remainder of 2020, while our sponsor originally planned two rig programs in both the Williston and the Delaware at this juncture, drilling and completion activities being deferred. Additionally, our sponsor shut-in approximately 25% of April volumes with May expected to result in additional curtailment. However, our sponsor has indicated significant flexibility to bring volumes back online quickly by bringing back shut-in volume. Additionally, our sponsor has a combination of [indiscernible] and completed wells, which have not yet flowed, which together approximate 36 wells that can be brought online rapidly to boost volumes. It's important to note that both Williston and Delaware pricing has materially improved from early April levels. Separately, we continue to engage with third-parties to get a sense of their programs. Given the dynamic environment resulting in a high level of uncertainty, OMP is suspending volume and EBITDA guidance for the time being. While we believe this environment is transitory, and ultimately prices and industry activity will improve, the timing of such a recovery is uncertain, and we will continue to manage the business prudently to conserve capital and preserve the balance sheet. With that, I'll hand the call over to Richard.
Richard Robuck: Thanks Michael. We declared a distribution of $0.54 per unit for the first quarter of 2020, reflecting the strong cash generated over the first quarter as well as solid coverage of 2.1x adjusted for the additional interest related to the waiver as described in our press release. This exceeding guidance of 1.6x to 1.7x had we grown our distribution in the first quarter at historical growth rate was originally included in our guidance, we still would have delivered adjusted coverage of 2x. As we look forward, financial performance is more uncertain given the macro volatility and the lack of visibility into the exact production curtailment across our asset base, as well as the U.S. We will continue to evaluate the distribution on an ongoing basis to make an appropriate decision based on each quarter's financial performance and our assessment of the future outlook. OMP’s financial position remains strong. Net debt to first quarter annualized EBITDA was 2.5x with $488 million drawn on our revolver and $24 million of cash at March 31. This juncture given OMP’s reduced capital budget, we would expect to generate free cash flow during the back half of 2020. In closing, it was a strong quarter for OMP as the team once again exceeded expectations across the board. The world has changed pretty dramatically over the past few months, but we're adapting and taking steps to reduce spending and preserve our financial health. I'll now hand the call back over to Taylor for closing remarks.
Taylor Reid: Thanks, Richard. In closing, first quarter results marked another strong quarter for Oasis Midstream Partners. We continue to deliver on our promises and exceed expectation. Thanks again for joining the call today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.
Q -: